Operator: Good day, ladies and gentlemen, and welcome to the Quarter Three 2014 Stratasys Earnings Conference call. My name is Mark and I'm your operator for today's call. (Operator Instructions) And now, I'd like to turn the call over to Shane Glenn, Vice President of Investor Relations for Stratasys. Go ahead please.
Shane Glenn: Thank you, Mark. Good morning, everyone, and thank you for joining us to discuss our third quarter financial results. On the call with us today are David Reis, CEO; Erez Simha, CFO and COO of Stratasys. A reminder that access to today's call, including the prepared slide presentation, is available online at the web address provided in our press release. In addition, a replay of today's call, including access to the slide presentation, will also be available, and can be accessed through the Investor Section of our website. A reminder that certain information included or incorporated in this presentation may be deemed to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, Section 27A of the Securities Act of 1933 and Section 21E of the Securities and Exchange Act of 1934. Forward-looking statements are often characterized by the use of forward-looking terminologies such as may, will, expect, anticipate, estimate, continue, believe, should, intend, project or other similar words, but are not the only way these statements are identified. These forward-looking statements may include, but are not limited to, statements relating to the company's objectives, plans and strategies, statements that contain projections of results of operations or financial condition, including, with respect to the MakerBot, Solid Concepts, Harvest Technologies and GrabCAD acquisitions, and all statements, other than statements of historical facts, that address activities, events or developments that the company intends, expects, projects, believes or anticipates will or may occur in the future. Forward-looking statements are not guarantees of future performance and are subject to risks and uncertainties. The company has based these forward-looking statements on assumptions and assessments made by its management in light of their experience and their perception of historical trends, current conditions, expected future developments and other factors they believe to be appropriate. Important factors that could cause actual results, developments and business decisions to differ materially from those anticipated in these forward-looking statements include, among other things, the company's ability to efficiently and successfully integrate the operations of Stratasys, Inc. and Objet Ltd. after their merger as well as the ability to successfully put in place and execute an effective post-acquisition integration plan for MakerBot, Solid Concepts, Harvest Technologies, GrabCAD and the company's other acquisitions; the overall global economic environment; the impact of competition and new technologies; general market, political and economic conditions in the countries in which the company operates; projected capital expenditures and liquidity; changes in the company's strategy; government regulations and approvals; changes in customers' budgeting priorities; litigation and regulatory proceedings; and those factors referred to under Risk Factors, Information on the Company, Operating and Financial Review and Prospects, and generally in the company's Annual Report for 2013 filed on Form 20-F and in other reports that the company files with the SEC, including the Risk Factors described in our Reports of Foreign Private Issuer on Form 6-K furnished to the SEC on August 7, 2014. Readers are urged to carefully review and consider the various disclosures made in the company's SEC reports, which are designed to advise interested parties of the risks and factors that may affect its business, financial condition, results of operations and prospects. Any forward-looking statements in this presentation are made as of the date hereof, and the company undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law. As in previous quarters, our focus on today's call will be on non-GAAP financial results. These non-GAAP financial measures should be read in combination with our GAAP metrics to evaluate our performance. We also note that we are not providing any pro forma financial results for acquisitions. Certain non-GAAP to GAAP reconciliations are provided in a table contained in our slide presentation and press release. Now I would like to turn the call over to our CEO, David Reis. David?
David Reis: Thank you, Shane, and good morning, everyone. Thank you for joining today's call. We are very pleased with our third quarter results, which include strong topline revenue growth, including an impressive organic revenue growth of 35%. We continue to observe positive sales momentum from a broad range of products and applications, including a significant expansion in manufacturing application as well as another impressive contribution from MakerBot. In addition, the strong demand we'll continue to observe for our high-performance systems in the period is contributing for favorable product mix, which is having a positive impact on our margins. We believe our third quarter performance provides additional validation for the rationale behind our strategic initiatives and acquisitions. During the third quarter, we closed on the acquisitions of Solid Concepts, Harvest Technologies, GrabCAD and HAFNER'S. We believe these acquisitions will expand our ability to address wider spectrum of markets vertical application and technology solutions. We are focusing on serving our growing customer base and executing our integration plans. In addition, we're on aggressive path to position the company for long-term growth through incremental strategic investment in our channel and corporate infrastructure as well as through new product development and additional acquisitions. I'll return later in the call to provide you more detail on these developments and our strategy, but first I would like to turn the call over to our COO and CFO, Erez Simha, who will provide detail on our financial results. Erez?
Erez Simha: Thank you, David, and good morning, everyone. As David mentioned in his opening remarks, we are very pleased with our third quarter performance. Financial highlights include total revenue for the third quarter increased by 62% over last year to $203.6 million. We generated impressive year-over-year organic revenue growth of 35%, driven by strong demand for our products and services. MakerBot branded products and services revenue was also impressive, increasing by over 80% when compared to the pro forma revenue that MakerBot generated during the third quarter of 2013. Our gross margin came in at a strong 58.4% for the quarter, impressive when you consider the lower gross margin contribution of recent acquisitions. Non-GAAP net income for the third quarter increased by 50% over the last year to $30.1 million or $0.58 per diluted share. Cash flow used for operations was $11 million, driven by one-time employee bonuses and retention payments related to the Solid Concepts and Harvest Technologies acquisitions. Product revenue in the third quarter increased by 48% to $160.2 million as compared to $108.3 million for the same period last year. Within product revenue, system revenue increased by 59% in the third quarter over the same period last year, driven in large part by MakerBot's impressive contribution to the quarter. Note that MakerBot became an organic revenue source as of August 15 midway for the period. System revenue growth, excluding the non-organic portion of MakerBot was also impressive, growing about 41% over the last year. We continue to observe strong growth across a wide range of products, driven by ongoing adoption of 3D printing technology for a broad range of applications from prototypes to direct digital manufacturing. A few notable area of strength included the continued sales in high-end Fortus systems, driven by increased demand for manufacturing applications, strong sales of high-end PolyJet systems, including our new line of Objet500 Connex Multi-material 3D Printer as well as the Objet1000. In addition, we are encouraged by the strong demand for our fifth generation MakerBot product. Within product revenue, consumables revenue increased by 32% in the third quarter compared to the same period last year or 28% when excluding the non-organic portion of MakerBot. The growth in consumables is driven primarily by our growing installed base of 3D printers and the relatively higher usage trends of our high-end systems. In addition, we are observing favorable results from our efforts to provide application training and material education to our customers. These therefore are driving utilization towards the trends higher-margin materials. Combined with our growing installed base in specifically the installed base of the Production Series and high-end Design Series systems, we believe our strategy of increasing consumption and encouraging use of premium materials is a positive indicator of consumables revenue growth in future periods. Service revenue in the third quarter increased by 145% to $33.4 million as compared to $17.7 million for the same period last year. This included a 38% of organic increase in service revenue. Please note that the acquisition Solid Concepts and Harvest Technologies, both closed in the third quarter and made significant inorganic contributions to service revenue. David will provide more details on our integration progress for Solid Concepts and Harvest Technologies later in the call. The growth in service revenue was positively impacted by taking increasing revenue from maintenance contracts and service parts, driven by growing installed base of systems. In addition, the growth in service revenue was impacted by the changing accounting treatment we implemented last year surrounding how we recognize flow into revenue. We shipped 10,965 3D printers and additive manufacturing systems in the third quarter as compared to 5,925 systems shipped in the third quarter last year. The significant increase in unit shipments resulted primarily from the inclusion of MakerBot systems. However, we also observed strong unit sales growth across other product lines during the third quarter, including our higher-end Fortus and PolyJet systems. Including all systems sold by Stratasys, Objet, Solidscape and MakerBot since their respective inceptions, the company has now sold 110,494 units worldwide on a combined basis as of the end of the third quarter. This is a significant milestone for the company as we believe Stratasys is the only company to have shipped over 100,000 systems on a combined basis. Gross margin was 58.4% for the third quarter compared to 58.8% for the same period last year. Sales of the company's higher-margin products offset the impact of relatively lower gross margin currently generated by MakerBot and the lower gross margin generated by the incremental revenue recognized from the acquisition of Solid Concepts and Harvest Technologies. Operating expenses increased materially in the third quarter compared to last year, driven by the inclusion of Solid Concepts, Harvest Technologies and MakerBot, as well as from increased sales, marketing and R&D investments to support our growth expectation and fund new product introduction. R&D expenses increased by 60% to $19.2 million in the third quarter as compared to the same period last year. R&D expenses as a percentage of sales were 9.4% million compared to 9.5% for the same period last year. SG&A expenses increased by 79% to $67.9 million for the third quarter as compared to $77.9 million for the same period last year, driven primarily by the inclusion of Solid Concepts, Harvest Technologies and MakerBot as well as changes in our product distribution strategy involving an increased use of independent sales agents, which resulted in increased agent commissions, incremental expenses for strategic and marketing initiatives, and an increase in headcount and infrastructure to support our growth. Our effective tax rate was 3.8% for the second quarter compared to effective tax rate of 14.8% for the same period last year. Our tax expense was impacted by the unique mix of taxable income that favored lower effective tax rate regions. The following slides provide you a breakdown of our geographic sales. Sales in all regions increased significantly in the third quarter of 2014 as compared to the same period last year, driven by the inclusion of MakerBot revenue as well as from the strong demand we are experiencing across all regions. As in previous quarters, the Asia Pacific region remains one of our faster growing regions. I won't be reviewing the specific reconciliation to GAAP for the non-GAAP measures we have discussed throughout our presentation today. This information is provided in the slides appearing at the end of our presentation as well as in our earnings release. We maintain approximately $459 million in cash and cash equivalents and short-term bank deposits in our balance sheet amounting to $9 per share compared to $578 million at the end of the second quarter. The decrease in cash is primarily a result of acquisitions of Solid Concepts and GrabCAD as well as the investments in working capital and expansion projects, offset by $50 million withdrawal from our credit facility. Cash flow used for operations was $11 million as the company used significant free cash for one-time employee bonuses and retention payments related to the Solid Concepts and Harvest Technologies acquisitions. Capital expenditures amounted to approximately $20.3 million in facility and equipment investments. Inventory increased to $119.3 million in the third quarter compared to $114.3 million at the end of the second quarter, primarily due to the inclusion of newly acquired parts services businesses. Accounts receivable increased to $140.7 million in the third quarter compared to $113.6 million at the end of the second quarter, while DSO, on 12-month trailing revenue, was 74 compared to 68 in the second quarter and 74 in the third quarter last year, primarily due to the inclusion newly acquired service business. In summary, we are very pleased with our third quarter results. We generated really impressive organic sales growth. We reported record financial results, driven by broad-based demand across our product lines. We should also highlight that our business, excluding acquisitions, experienced an expansion in margin over last year. We believe that we are making the appropriate investments in strategic initiatives and infrastructure to accelerate our growth moving forward and that we are on the leading edge of our exciting industry. We have a strong balance sheet and we continue to position the company for future growth through strategic investments as well as additional acquisitions. Our investments will support future growth mainly in headcount, infrastructure, new product initiatives and sales and marketing to support new product introductions. And finally, excluding an adjustment to our earlier forecast for the recent acquisition of GrabCAD, we have maintained our financial outlook for 2014 based on our positive momentum going into the fourth quarter. I would now like to turn the call over to our VP of Investor Relations, Shane Glenn, who will provide you greater details on our updated financial guidance. Shane?
Shane Glenn: Thank you, Erez. As previously communicated, the recent acquisition of GrabCAD, which was closed on September, currently provides no incremental revenue and includes an ongoing development costs that are expected to negatively impact the fourth quarter by $0.03 to $0.05 per share. Stratasys provides the following information regarding the company's projected revenue and net income for the fiscal year ending December 31, 2014. Revenue guidance remains at $750 million to $770 million. Reflecting the recent acquisition of GrabCAD, non-GAAP net income guidance was adjusted to $115 million to $120 million or $2.21 to $2.31 per diluted share versus our previous guidance of $117 million to $122 million or $2.25 to $2.35 per diluted share. GAAP guidance was updated to a net loss of $31.6 million to $24.4 million or a loss of $0.63 to $0.49 per basic share. Non-GAAP earnings guidance excludes $80.6 million to $81.1 million of projected amortization of intangible assets, $29.4 million to $29.9 million of share-based compensation expense, $14.6 million of impairment charges, $66.7 million to $68.7 million in non-recurring expenses related to acquisitions and includes $46.9 million to $47.9 million in tax expenses related to non-GAAP adjustments. The appropriate reconciliations between GAAP and non-GAAP financial measures are provided in a table in the press release and a table that provides itemized details on non-GAAP financial measures. Stratasys provided the following additional information regarding the company's performance and strategic plans. Operating expenses will expand materially in 2014 compared to 2013, driven by significant investments to support MakerBot product development and sales expansion, other investments in sales and marketing to drive future market adoption, and increased R&D investments to fund technology innovation and new product development. Growth in operating expenses includes significant investments to support the integration and alignment of the recent acquisitions of Solid Concepts and Harvest Technologies, as well as the inclusion significant development expenses associated with the acquisition of GrabCAD. Capital expenditures are projected at $50 million to $60 million for 2014 and $160 million to $200 million for 2015, which includes significant investments to support future growth. Additionally, Stratasys reiterated its long-term operating model as provided on the following slide. Now I'd like to turn the call back over to David Reis who will provide you with a more detailed strategic overview. David?
David Reis: Thank you, Shane. We are recognizing the results of focused strategies that's capitalizing on many exciting growth opportunities. We began the fourth quarter with significant positive momentum, as our markets continued to grow and opportunities developed at an exciting rate. We remain focused on our strategic priorities and will pursue leadership in every area in which we operate, while investing aggressively to capture future growth and deliver shareholder value. We remain focused on those objectives. One of the fastest growing segments within our industry is direct digital manufacturing and end-use parts production. Our parts service strategy supported our core strategic imperatives of expanding our DDM expertise as well as leading the market and an introduction of vertical market solutions. Our recent acquisition of Solid Concepts and Harvest Technologies have helped us to grow our DDM and vertical market capabilities. Since closing these acquisitions in the third quarter, we've been focused on the post-merger integration process for the newly acquired companies with RedEye, with a team consisting of leaders from across the combined organizations. The integration will be an ongoing process over the next 18 months. Our plan is to combine the sales, application, marketing, business development, manufacturing functions into one unified group. The rationale for our parts service initiative remains the same. First is a new offering will be a growing and profitable business supporting our strategic imperatives around DDM and vertical market applications. Also early in the process, we're observing from positive trends from the combination as we have begun to shift over fulfillment to maximize capacity utilization as well as make better use of our geographical reach and combined technology expertise. Second, we believe Stratasys will have opportunities for synergistic selling of systems and services across our larger combined customer base. To be clear, we're in the early stage of the integration process and have not yet focused on realizing gross selling synergies. These transactions are fundamentally about growth and believe in the necessary infrastructure to continue to lead the additive manufacturing markets. Future success with our industry will go beyond simply providing the market with best hardware and material solutions. We believe we must develop a leading 3D printing ecosystem to improve accessibility to our solutions and allow us to enhance customer intimacy. To advance this strategy, we recently announced the acquisition of GrabCAD, a leading cloud-based CAD collaboration platform and community site. GrabCAD solutions is CAD software agnostic and empower designers and engineers to manage, share and view CAD files. GrabCAD has built a global leading and fast-growing community of mechanical engineers and designers with approximately 1.5 million users who are passionate about design. The company has also established an industry-leading team of software professionals with deep understanding of the needs of designers and engineers. GrabCAD will operate as a unit within Stratasys Global Products and Technology Group and is expected to continue to provide enhanced collaboration tools and improving accessibility related to 3D CAD concepts. We believe that improving 3D printing accessibility is critical to drive adoption for our products and services. GrabCAD is a unique opportunity for Stratasys to strengthen our ecosystem by providing a common core platform end-user experience for all our 3D printing systems and parts service offering. We're early in the post-merger integration process with GrabCAD and optimistic about opportunities that this acquisition is expected to provide for our company. While we have been busy with expanding our offerings through strategic acquisitions, we have maintained our internal focus on accelerating new solutions to market. Our strategy includes the aggressive development of new products to meet our customer needs as well as development of innovative go-to-market and channel expansion initiatives. We introduced several new products since the beginning of the last quarter. For example, the advanced capabilities of the Connex line is driving new opportunities within the medical application that require multiple material as well as high color and fine feature resolution. Demonstrating our commitment to leading the market with an innovative new product, yesterday we announced two new Fortus FDM system and eight new PolyJet systems including a significant expansion of our successful Connex line of multi-material 3D printers. Additionally, we strengthened our material portfolio with the ULTEM 1010 resin for the Fortus 900mc. These product announcements were previously scheduled to come, but based on anticipated strong demand, we announced the new products yesterday at the CMAA Trade Show in Las Vegas. This has been a very big year for new products introduction as we already released multiple new products and materials across our combined portfolio. For example, Objet1000, which began shipping earlier this year, experienced strong demand and was a significant contributor to our quarter. We believe the unmatched unmatched build size, material selection and part quality of our high-end PolyJet offering creates a value proposition for numerous applications across multiple vertical markets. In addition to announcing new products, we are also focused on the development of new channel go-to-market strategies and strategic partnerships. Expanding our channel in pursuing strategic partnership not only support distribution of our new product introductions, but also improves 3D printing accessibility and customer intimacy, allowing us to connect with our customers in a new and innovative ways. In the third quarter, we announced two significant channel expansion for our MakerBot brand products: first, Home Depot, which is now selling MakerBot fifth generation 3D printers in selected stores as a pilot program; and second is the creation of MakerBot Europe as a result of the acquisition of MakerBot German distributor, HAFNER'S BÜRO. We are also reaching new customers with the expansion of our UPS partnership. Last year, UPS sold selective uPrint SE Plus as part of the 3D printing pilot program in six stores in selected markets across the United States. Over the past year, the six locations experienced increasing demand for 3D printing services among small business, startups, inventors, system professionals. After the successful pilot program, UPS announced a nationwide expansion of the 3D printing services at nearly 100 locations. We believe this is a positive indication for customer demand for increased access to 3D printing technology. We believe we are well positioned to capitalize on the opportunity with our industry-leading products. To support all these initiatives and in light of the market demand we're experiencing, we will continue to invest in the necessary infrastructure that can support our growth. We are a rapidly expanding global company with over 29 offices worldwide and nearly 3,000 employees. Over 700 employees were added in the third quarter alone, the majority as a result of our recent acquisition. As strategies grow, we must build scalable foundation that allows an ongoing emphasis on innovation and product development of providing the necessary tools to fully leverage new products and services into the marketplace. We believe we are leading the industry in building such infrastructure. In summary, we're extremely pleased with our third quarter financial results, including record topline revenue, impressive organic growth and strong profit growth. We observed growth-based demand for our products and services with particular strength in our high-performance systems as well as impressive contribution from MakerBot. The impact of our strategic investment is reflected in our impressive revenue growth, which we believe validates our strategy. We closed the acquisition of Solid Concepts, Harvest Technologies and GrabCAD, expanding our ability to address a wide spectrum of market verticals and developed broad set of solutions to meet our customers' evolving needs. We continue to position the company to capitalize the future growth opportunities by making the necessary strategic investment in channel, product, technology development as well as execution and focused M&A strategy. And finally, we continue to observe a favorable market environment and expect strong finish to this year. Operator, please open the call for questions.
Operator: (Operator Instructions) Please stand by for your first question, which comes from the line of John Baliotti of Janney Capital Markets.
John Baliotti - Janney Capital Markets: David or Erez, just based on the comments and the revised numbers that we have, it looks like the increased expenses for 2014 are discrete events, the M&A, the 11 new products. But, David, given your comments and the fact that you left the long-term guidance intact, is it fair to expect that you have built in a path to a greater efficiency and scale of these portfolio additions?
Erez Simha: When you look at what happened to Stratasys this quarter and year-to-date, we're growing extremely fast, 35% organic growth with and without MakerBot. It's related with higher than what we planned and what we expected to grow. There're plenty of opportunities on the table in the market that we can capture. And those opportunities require investments. The effective tax rate is a bit lower than what we estimated. We leveraged the opportunity to invest more and capture more opportunities. And don't forget that the tax structure is part of our unique business model and they allow us to invest more and capture more opportunities in order to grow faster. The fruit of those investments, you cannot see in the financial statement, the box after we put after we generate a stream of recurring revenue, which is extremely profitable in the future of consumables and services that you don't see today in the financial statement. And I think the ROI there is extremely, extremely fast.
Operator: The next question comes from the line of Troy Jensen of Piper.
Troy Jensen - Piper: I guess I want to follow up to John's question a little bit. Just on the spending side, so I think the reason it sucks down today and the concerns a lot of new investors have is with respect to operating margin leverage. So if you look at this quarter, you got a nice revenue beat, but your operating margins came in below my model and the EPS upside really came from taxes. So can you just talk on when do you think the spending will slow down and when you slow more than the growth rate of the revenues, when can we start to see leverage and when do we hit this 18% to 23% range?
Erez Simha: (inaudible) behind the financial statement when we added MakerBot and we added service bureau businesses, those businesses impact on the combined operating margin of the company. And leave for a moment aside the fact that we choose to invest a little bit more. The core business of Stratasys generating extremely high profitable margins, as it used to do, we are adding business models that are a little bit different that maybe the dramatic result is lower operating margin still does not have any impact on total stability of the core business and also to diversify the businesses which are hereditary, but carry different business model. I think that the investment that is part of our strategy to try and grow as fast as possible and capture all the opportunities that are on the table today. And as we box it, we're generating future extremely high stream of revenue, which is profitable.
David Reis: I think that when we said it also during our opening slides, the acquisition strategy is very, very focused. Not all the acquisitions that we've done in the later part of the year were planned at the beginning of the year. Now each acquisition like this requires investment in order to integrate it correctly into Stratasys and in the future enjoy the synergies. I want to repeat what Erez said. The core business of Stratasys did have improved margins compared to previous quarters. So what you see is really the result of acquisition. And as I said earlier, I think the acquisitions are extremely focused, are serving the strategy the way we published it, which I think is unique. And therefore, we have increased expenses in the short and medium term to final this PMI of (inaudible).
Troy Jensen - Piper: About the new products launch yesterday, did any of them come out of Skunkworks? I know there's still seven-odd new technologies in the pipeline.
David Reis: I prefer not to answer this question, Troy. I think we came out with many, many new very innovative products. Again, I think we're talking about the last two quarters, probably all together over 10 new products and materials, which are in places regardless of their origin.
Operator: The next question comes from the line of Ken Wong of Citigroup.
Ken Wong - Citigroup: Services gross margins were up, were obviously impacted by the acquisitions. Just wondering when should we expect you guys to be able to ramp those gross margins back to the mid-40% that we saw the last couple of quarters?
Erez Simha: Services gross margin, this is a mix between the parts business, which obviously is now taking a larger part of the equation end of business, and the traditional service business that you saw in previous quarters. Maybe the traditional service business is generating same margin as it used to generate in previous quarters. But again, having parts business, which carry a little bit of lower margin, the result is consolidated average gross margin as you see in Q3. I think it will take time to drive margins up. It requires integration activity, which we take a few quarters to try and leverage the synergies between the two companies. It's not a one-quarter, not even two or three quarters story. But we do see and we do think that we would be able to leverage those margins up in the future.
David Reis: I think we said also in the presentation that we expect the PMI process, so the service bureaus to take 18 months. Now if you go back to the rationale which was presented in the last quarter and the previous quarter why we went ahead and made those transactions, it also relies on the fact that we do strongly believe that over time, we'll be able to generate synergies between the parts business, the hardware sales, our strategic account activity. Now in order to get to it, we need first of all to integrate Solid Concepts, Harvest with RedEye, which is stage one. And then we're going to go ahead and try and explore those synergies. And as I said, this will take up to 18 months.
Operator: The next question comes from the line of Amit Daryanani of RBC Capital Markets.
Amit Daryanani - RBC Capital Markets: I have two questions as well. Maybe first to start off with regarding the MakerBot portfolio, which seems to be part of the issue in the margins. Is there a focus, is there a potential to improve MakerBot margins over the next one to two years? And if so, what are the levers that would you help you improve the MakerBot margins, given the fact you do have good growth there?
David Reis: I think that over time, it is our intention to improve the MakerBot margin. I think the business such as MakerBot, which is relatively compared to the core Stratasys is high volume, we should expect over time to create improved margin for improved manufacturing processes. I think that we're going to improve our offering in a way that will allow us to generate better margins.
Erez Simha: And again, it's not in the short term.
Amit Daryanani - RBC Capital Markets: Maybe I don't understand. How do you get that? Is it going to be more services? Are you going to try to make it a close to materials loop? If you could maybe talk about what are the potential levers to help the margins?
David Reis: Just to give you an example, we introduced a new offering for service, for example, for MakerBot customers, which is adopted nicely by those customers. This is improving our overall margin. We are adding product elements, which is sold with the printers, with the consumables. The overall offering over time will improve its margin.
Amit Daryanani - RBC Capital Markets: The GrabCAD dilution that you talked about in Q4, $0.03 to $0.05, does that sustain through 2015? Could it be '16 and dilutive in 2015? Or are there offsets as you're looking at hopefully to reduce the dilution? Any help on that would be helpful and thanks.
Erez Simha: We didn't discuss it in 2015 guidance. The nature of the acquisition is almost all of it is R&D type. But when we will guide about 2015, we would also discuss GrabCAD.
David Reis: The GrabCAD, which is a little maybe remote from the EPS effect, I think that the GrabCAD is a great company. What we got with GrabCAD is a leading team of software professionals, which we consider to be the top of the industry coming with extremely strong community with 1.5 million users that I think today all of you can appreciate the huge value that Thingiverse gave to MakerBot and we are adding another very strong community to the Stratasys family. So from the perspective of GrabCAD, yes, it's affecting EPS, but we're bringing on board the team which at the end of the day supports our strategy of increasing 3D printing accessibility, improving customer intimacy, basically the ability to create collaboration tools that will improve and encourage the use of 3D printing. So it's really a strategic acquisition and yes, it has in the short to medium term effect on EPS.
Operator: The next question comes from the line of Wamsi Mohan of Merrill Lynch.
Wamsi Mohan - Merrill Lynch: You beat the quarter solidly here, but you're not increasing your full year topline, indicating some deceleration from very strong organic growth rates. So two parts. Is this market related or product transition related or just some conservatism on your part? And the actual organic growth rate, which is so much higher than the rest of the market and the other larger player in the market, perhaps you could comment about that? And quick one for Erez as well, the increase in CapEx seems quite significant. Can you give us some more color about these 2015 CapEx plans and also how you intend to fund it?
David Reis: We said in the presentation that we entered Q4 with good momentum. On one hand, it's a very exciting quarter. We are placing and upgrading the maturity of our offering in one quarter, including all the Connex Eden lines, both of the Fortus lines. We entered into the quarter with good momentum.
Erez Simha: When you grow 35% organically year-over-year, you have to plan ahead both manufacturing capacity and infrastructure. And what you see there is mainly around infrastructure, manufacturing capacity and manufacturing equipment that we have to build up in order to fulfill our plan for the next three to four years. Those investments by nature are made in advance and you read later on the utilization during the next three to four years. And we see 2015 as a step year for us to invest on facilities and manufacturing capacity in order to make sure that the company has whatever it requires to fulfill our needs in 2016, '17 and '18.
Wamsi Mohan - Merrill Lynch: How do you intend to fund it?
Erez Simha: I did not decide it yet.
Operator: The next question comes from the line of Patrick Newton of Stifel.
Patrick Newton - Stifel: One clarification in case I missed it, Erez, did you provide RedEye revenue or collective service bureau revenue in the quarter?
Erez Simha: No, you didn't miss it. We didn't provide. RedEye today is part of the parts business. We report it as one unit.
Patrick Newton - Stifel: Can you quantify that at all just on a sequential or year-over-year basis just to give us an idea of how much of a contribution Harvest and Solid Concepts was in the quarter?
Erez Simha: It's very difficult. We just started two months ago. A lot of the activities are already integrated. Go-to-market sales is under head. We're already doing manufacturing, load balancing between the different physical locations. So basically standalone reporting is not available.
Patrick Newton - Stifel: And then on the gross margin side, you stated strong demand for high-performance systems that drove the product gross margin. Can you give us a visibility into these main trends, and should we view the product gross margin as representing peak levels or is there still upside? And then on the service gross margin side, I think definitely below our expectations. But can you help us maybe provide a reasonable gross margin range for this business now that you higher service bureau revenue post the Harvest and Solid Concepts acquisitions?
Erez Simha: I would look at the gross margin and not try to break it down between the product and the service. And I think if you ahead at least for the short term, it should not stay at the same level. But you see today, the same level, it was last quarter. And so the service gross margin, it will take us time to bring it up to a level that the core service business of Stratasys used to be. Not a quarter, it's not two quarters, not three quarters. As David said, it's a frame of six quarters looking ahead and then we'll try to integrate the entire business into our core business. As for the product, I think that assumption would be that product gross margin will stay at the level that you see today in Q3 and you saw it today for those products.
Operator: The next question comes from the line of Ananda Baruah of Brean Capital.
Ananda Baruah - Brean Capital: One two-part question for both David and Erez. Beginning with operating margins, I guess OpEx investment, given the conversation, the dialogue around increased M&A, new product cadence and invested to grow those new products, should we have an expectation for operating margins to expand in '15? It sounds like you're seeing up another investment-heavy year. So just want to understand that context. And I guess, Erez, in that regard, there also was in February/March mention of a reflexive view of tax rate in the context of your investment cadence. So how should we think about tax rate going forward as well?
Erez Simha: I think that 2015 is really too early to discuss. We're just in the middle of process of entering 2015 and we will guide the market when the process is done, finished. And we have good understanding of 2015 plan, good plan in place. As far as 2014 and the effective tax rate, the effective tax rate is one of the most difficult part to forecast. It's actually based on the regional taxable income and many more components that are difficult to focus and to manage. I think that a unique part of our business model is the low effective tax rate that allows to invest more, while maintaining stability of the entire business. And looking into Q4, I think that effective tax rate in Q4 will be below the lower range of the long-term model that we provided to the market.
Operator: The next question comes from the line of Sherri Scribner of Deutsche Bank.
Sherri Scribner - Deutsche Bank: I noticed that your units were down sequentially. And now that you've had MakerBot for more than a year, I wanted to get a sense of what you think typical seasonality is going to be for your shipments as we move forward.
David Reis: I think it's more a matter of mix and it's a matter of mix of the MakerBot units that were more high-end MakerBot units sold this quarter compared to previous one. Don't forget that in previous quarters, the Z18 was not available commercially and was not in the market. I wouldn't take any conclusion out of the number of units that you see, the change in number of units that you see in Q3.
Sherri Scribner - Deutsche Bank: Are you seeing any seasonality in that business? Would June typically be strong and would you expect December to be particularly strong? Just trying to understand the seasonality.
David Reis: Usually Q3 is a little bit slower due to the vacation's time in schools and universities, off-season. So usually Q3 is slow compared to, for example, Q2 or Q4. I think also in the US, Q3 as a seasonal quarter is not as good as Q4.
Operator: The next question comes from the line of Jonathan Shaffer of Credit Suisse.
Jonathan Shaffer - Credit Suisse: I was just wondering if you might be able to give a little bit of color around the MakerBot growth in the quarter. I know you had a couple of large product introductions, including the Z18 and the Mini. And I was just wondering what kind of customer appetite you're seeing for the Z18 in particular.
David Reis: Again, we don't disclose the breakdown between the different product lines. But I think it was very visible the fact that we did grow MakerBot sales 80% Q-over-Q. I can show you that we see very good acceptance to the Z18, result indicating the exact number of units. The 80% was based on a pro forma basis when you look at the year-over-year.
Jonathan Shaffer - Credit Suisse: I just meant more underlying appetite, no specific numbers. Is the Z18 being well received?
David Reis: The answer is yes, very well received.
Operator: The next question comes from the line of Paul Coster of JPMorgan.
Paul Coster - JPMorgan: I just want to go to your comments on customer intimacy in the context of the service and parts business. Are you starting to see any examples of you placing your capabilities inside the supply chain of customers and/or customers placing discrete operational units inside your own facilities? And do you expect that to grow in the future, a virtue of manufacturing capability essentially?
David Reis: I said earlier what we're very focused in the next few months is first of all to integrate the RedEye with Harvest and Solid Concepts. This is task number one. We need to unify the sales force, manufacturing capabilities, recording systems. There's a lot of work that has to be done there. When this is done, we're going to go to the next stage, which has to do with exploring the synergies between the parts selling entity and the hardware and consumables selling entities. We did not change our mind and we think that there are local synergies, but we did not start to explore them at this point of time.
Paul Coster - JPMorgan: My second question is to do with R&D. You see, one of your potential competitor has come out with a sort of hybrid solution, which is combining two types of print engines. Is this something we should also expect of Stratasys in the future, not that specific configuration, but nonetheless combinations of print engines in one solution?
David Reis: Unfortunately, I cannot disclose our roadmap. What I can say is that we've demonstrated very nicely this quarter and previous quarters that we are accelerating products to market and we have all the intention and it's part of our strategic imperative to do it also in the coming quarters and years. So you should expect to see more and faster introductions to market. I cannot discuss the technologies and combinations and so on.
Operator: The next question comes from the line of Jason North of Jefferies.
Jason North - Jefferies: Could you discuss the ramp in CapEx for 2015? Is that mainly due to Solid Concepts or are there drivers in there? And then also, how does that relate to your new mix for your geographic footprint? And with the big currency moves we've seen, what does that mean for your cost basis for next year?
Erez Simha: It's mainly around the business which is not the [ph] quad business, but the core business of Stratasys or the business of Stratasys without the bulk business. And again, I said it in previous quarter, it's around the investment in infrastructure and manufacture capacity and manufacturing equipment in order to make sure that we have enough capacity and enough infrastructure and IT infrastructure to serve us and take us as of 2015 for the next three to four years. Those investments usually are being done in steps, meaning you don't build infrastructure and manufacturing capacity year-over-year. You do it once every three to four years. And I don't think it will have a significant impact on the cost basis of the company.
Jason North - Jefferies: Do you all see the impacts for the recent currency moves in terms of your margin profile for next year?
Erez Simha: No, nothing.
Operator: The next question comes from the line of Holden Lewis of Oppenheimer.
Holden Lewis - Oppenheimer: First, you said yourself that you have to put more CapEx out there because of the rate of growth in the markets. So I'm kind of curious, in light of your 25% organic growth rate, is that that you're continuing to ramp the CapEx suggest that at least for the foreseeable future that 25% is going to be a little bit low compared to the current rate of 35%? And then the second question relates to your sort of refresh of your products. Can you talk a little bit about in light of the Hewlett-Packard release, did these new products come with better speed, fine features? In other words, is it sort of cutting into what Hewlett-Packard states that they will have?
Erez Simha: Regardless of what today growth rate that we expect and we didn't provide any direction about our expectation for growth for 2015 or '16, the fact is that year-to-date, we grew 35% organically. If you add to that the amount of inorganic growth, the number is impressive. And those numbers require investment in both infrastructure and manufacturing capacity looking three to four years ahead. And we have to plan our investment as such that we will be ready in the next couple of years to fulfill the demand that we feel we'll see.
David Reis: We came out with, I think, very impressive new products to the market in the past quarter and we just announced yesterday more products. Each of them has unique characteristics. I'm not going to go through all of them. Some of them are increasing speed. Some of them are increasing capabilities, material availability, improved reliability. Nevertheless, going back to the HP question, as I said publicly before, we have quite a lot of innovation in our focus in different parts of the company and we feel very confident that we can deal with the HP challenge. And we would be waiting when HP is going to reach the markets.
Operator: The next question comes from the line of Peter Christiansen of UBS.
Peter Christiansen - UBS: This is Peter in for Steve Milunovich. Just following up on the HP introduction last week, I know it's early, but has there been any feedback from any of your top customers and do you get the sense or is there any fear that HP's announcement could lock up spending next year as we wait for their product to be introduced?
David Reis: We did not get such response on the markets. Second, HP announcement, I think, is an important announcement. It's kind of thing that all of talked about additive manufacturing and the potential in the market. Specifically, what was announced is technology. And from my perspective, I'm not sure and I don't think we have enough information on it exactly, what is the product which is going to result from this technology. I could also add that our markets have large a variety of requirements and our customers have very large a variety of demand from us. And I don't think that a single technology would be able to answer all those demands. So to put all of it together, I think HP joining the market is good news and Stratasys is going to be ready and we're ready right before for this event.
Peter Christiansen - UBS: Can you just discuss some of the nature of some of the impairment charges that you took in the quarter?
Erez Simha: The nature is related to one of the product line that we acquired in the MakerBot transaction.
Operator: The next question comes from the line of James Ricchiuti of Needham & Company.
James Ricchiuti - Needham & Company: Just a question on the integration of the parts businesses. 18 months fairly long in integration. I wonder if you can talk a little bit about milestones along the way and how that might translate to improving profitability on the service business.
David Reis: We divided into two parts. Like I said, stage one is merging RedEye, Solid Concepts and Harvest into one operational entity. This will take, I will say, two to three quarters and should result in a more efficient activity of the sales force, better customer access and some efficiencies in manufacturing across, I think, seven facilities that we have now. After this is done, we're going to get to the second stage, which will be the synergies between the different parts of Stratasys and the service bureau activity, which will result in improvements in the margins at this time. But again, stage one is about two to three quarters and then we go to stage two.
James Ricchiuti - Needham & Company: Erez, I wonder if you could talk, was the organic growth that you saw in the quarter uniform across your geographic regions, just in light of concerns people have had about Europe?
Erez Simha: I think that we saw an extremely high growth in Asia Pacific. Europe is doing extremely well. I didn't see any issues that make us concerned about any kind of influence on our business.
Operator: The next question comes from the line of Scott Schmitz of Morgan Stanley.
Scott Schmitz - Morgan Stanley: Just a question on the consumables line. You talked about some education and some investments that are driving the consumables growth. Does the growth rate maintain at the same level here in the mid to low-30%s or is there an acceleration that you expect or deceleration on the back of some of these investments?
David Reis: I think that the current growth is impressive and we're working extremely hard to keep it as it is.
Scott Schmitz - Morgan Stanley: Just on the linearity in the quarter, the DSOs are up. I think you attributed to the services business. But any comments on how linearity played out during the quarter and whether you expect DSOs to come back down or does that stay elevated with the services impact?
Erez Simha: The DSO was very similar to previous quarter. The impact of adding the service bureau resulted in DSO, as you see there. I think that looking forward, we will see same level of DSO.
Operator: That concludes the question-and-answer session for today. So I would now like to hand the call back to the CEO, David Reis. Go ahead please.
David Reis: Thank you for joining our call today. We look forward to speaking with you again next quarter. Good bye. Thank you very much.